Operator: Good day, ladies and gentlemen and welcome to the Q1 2019 Clearside Biomedical Inc. Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will follow at that time. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn the conference over to your host, Ms. Jenny Kobin, Clearside Investor Relations.
Jenny Kobin: Good afternoon, everyone and thank you for joining us on the call today. Before we begin, I would like to remind you that during today's call, we will be making certain forward-looking statements. Various remarks that we make during this call about the company's future expectations, plans and prospects, constitute forward-looking statements for purposes of the Private Securities Litigation Reform Act 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors including those discussed in the Risk Factors section of our most recent Annual Report on Form 10-K for the year ended December 31, 2018 and filed with the SEC on March 16, 2018. Clearside's quarterly report on Form 10-Q for the quarter ended September 30, 2018 and filed with the SEC on March 15, 2019 and other SEC filings, all available on our website. In addition, any forward-looking statements represent our views as of today and should not be relied upon as representing our views as of any subsequent day. While we may elect to update these forward-looking statements at some future point, we specifically disclaim any obligation to do so even if our views change. On today's call, George Lasezkay, our Interim Chief Executive Officer and member of the Board of Directors, will provide strategic update; Dr. Tom Ciulla, our Chief Medical Officer, will highlight our recently presented data and current development plans; Brion Raymond, our Chief Commercial Officer, will review our plans for XIPERE; and Charlie Deignan, our Chief Financial Officer, will conclude the formal remarks with the financial summary. We will then open the call for your questions. I would now like to turn the call over to George.
George Lasezkay: Thank you, Jenny. Good afternoon, everyone and thank you for joining us on the call today. I am pleased to join you today at this important stage of the evolution of Clearside. I joined the Board of Directors in 2017 with the very firm belief that our proprietary injection platform targeting the suprachoroidal space or SCS can have a profound impact on the treatment patient suffering from vision threatening eye diseases. Having worked with multiple biotechnology and pharmaceutical companies I am confident that Clearside is well positioned to bringing our first product XIPERE, to market if approved. Our new drug application for XIPERE is suprachoroidal injection is currently under review by the FDA for the treatment of macular edema associated with uveitis. This is a strategically focused indication for which there are currently no approved options. We can deploy a targeted approach to educating uveitis and retina specialists on the potential benefits of XIPERE and our SCS injection platform. The PDUFA date for XIPERE is October 19, 2019. We're also planning to meet with European regulatory authorizes to better understand most reasonable regulatory path forward for XIPERE in the EU. In addition, we are looking to prudently build our ophthalmic product pipeline. We are exploring multiple ways to accomplish this including expanding our internal discovery and research efforts as well as seeking strategic collaborations to leverage our platform into other ophthalmic indications. Utilizing our proprietary SCS injection platform for gene therapy for inherited retina disorders is increasingly becoming a research priority for us as the science in this area continues to evolve and show some promise. The recent scientific data presentations have shown that our SCS injection technology may be a viable, nonsurgical delivery mechanism for both viral and non-viral approaches for gene therapy and our research team will continually focus its efforts in this space. I will now turn the call over to our team to review the progress this quarter. First will be our Chief Medical Officer, Tom Ciulla, who will highlight the applicability of our platform and recently presented data. Tom?
Thomas Ciulla: Thank you very much data. Since we recently returned from the association for research and vision and ophthalmology, for Oracle Conference in the adjunct events there, I wanted to talk to our activities at this key ophthalmology event. Oracle was an extremely busy and productivity meeting for Clearside. We had a medical peers group at the conference in [indiscernible] and educate the uveitis and retina specialist in attendance about the broad applicability of our SCS injection platform and our plan to launch XIPERE if approved. Overall, our platform has been well received by the medical community and the feedback from physicians was quite positive. In addition to the booth, we had several presentations and posters at the medical meetings on utilization of our platform in both uveitis and gene therapy. Multiple posters were presented on utilizing a suprachoroidal approach to deliver gene therapies and nonclinical models. In totality, the presentations at the conference suggest that suprachoroidal administration has the potential to offer targeted deliveries of ocular gene therapies without the risk inherent in [indiscernible] and sub-retinal surgery. This is extremely important because if we can deliver gene therapy via our SCS injection platform, patients can be treated by a retina specialist in an office setting instead of undergoing surgery in an operating room. This would be a much more patient friendly treatment option and make gene therapy an option for all retina specialists, not just surgeons. At the Uveitis Society Spring Meeting, Dr. Eric Suhler, reinforced our work with XIPERE for the treatment of macular edema and noninfectious uveitis. His presentation pulled the results of our three clinical trials that is PEACHTREE, DOGWOOD, and AZALEA and showed that the use of XIPERE resulted in a rapid and durable improvement in vision and reduction in retinal in a majority of patients following a single suprachoroidal injection. When administered a second injection of XIPERE week 12, a majority of patients continue to show macular edema resolution for week 24 and did not require additional treatment. In addition, Dr. Christopher Henry's article poster model the 198 patients treated on PEACHTREE and AZALEA. In the model, the 198 patients averaged a 12 letter [ph] improvement and best corrected visual acuity in a 157 micron decrease in central sub [ph] fitness after treatment of XIPERE. These presentations continue to demonstrate the effectiveness of XIPERE to treat patients suffering from macular edema secondary to uveitis. Moving forward our discovery in clinical teams continue to work to expand the potential indications and uses of our SCS platform. While we seek to optimize our procedure for gene therapy delivery we also continue to explore small molecules that may achieve therapeutic synergies within the SCS platform. As George mentioned, for XIPERE we are planning to meet with the regulatory authorities in Europe later this year to discuss the marketing authorization application for uveitis macular edema and as we mentioned in our last call, we believe XIPERE can provide a benefit to patients with diabetic macular edema or DME. We are currently evaluating strategies in preparation for discussions with the FDA regarding a path forward to advance clinical development of XIPERE as a monotherapy into the therapeutic rotation with anti-VEGF for DME. To review the growing understanding and enthusiasm from the physician communities encouraging as we look forward to bringing our first potential product to market and look to expand our platform other indications. I will now turn the call over to Brion Raymond, our Chief Commercial Officer to provide an update on our plans for XIPERE.
Brion Raymond: Thank you, John. Uveitic macular edema is an attractive opportunity for Clearside for two key reasons. First, this is an area of high unmet medical need as it is the leading cause of vision loss for patients with uveitis and nearly 50% of these patients have persistent edema despite receiving current treatments for their uveitis. XIPERE has the potential to provide a new effective treatment option for these patients. Second, these patients are treated by a concentrated base of uveitis and retina specialists whom we believe we can readily and efficiently access and preparation for the potential launch of XIPERE in the first quarter of next year, we continue to make tremendous progress executing against our launch strategy and we will be prepared to effectively educate the healthcare community receive should we receive approval. We are confident that we will be able to research physician base and to provide the level of service expected by the uveitis and retina communities in a prudent and efficient manner. I would now like to discuss some of our plans and highlight the progress we've made thus far. Let's start with the physician audience. In order to optimize the services we will offer, it is important for us to truly know and understand that the retinal and uveitis specialist particularly those whom we believe will be the earliest adopters of XIPERE. We continue to gather direct and current feedback from these physicians and their practice managers on how we can best serve them and their patients. This feedback is crucial as we create the educational materials and programs and the reimbursement services required to support adoption of our product. For instance, training these physicians on a suprachoroidal injection procedure is one of our top priorities. We are developing a variety of training options including prep materials, video demonstrations and hands-on sessions in order to provide the right level of support for each individual physicians needs. As I discussed last quarter, XIPERE will be administered by physicians in their office and will be a buy and bill therapeutic. This means the physician practice will purchase the drug and then bill insurers. To ensure this process goes smoothly for both physician offices and patients, we're gathering input from the practice managers who currently oversee this process for other therapies and we are evaluating reimbursement services solutions to support patient access. Importantly, we're also gathering input and feedback from public and private payers to ensure any patient who qualifies for our treatment will have access to XIPERE. All of this is being done to ensure we deploy the programs and services in the most well-equipped field force to support physicians, their staff and patient. We've made extensive progress across multiple fronts and we'll continue our engagement with all of the stakeholders I discussed to ensure we are prepared for successful launch of XIPERE should we receive FDA approval. I look forward to keeping you updated on our commercialization efforts and would now like to turn the call over to our Chief Financial Officer, Charlie Deignan to review our financial results.
Charlie Deignan: Thank you, Brian. In the first quarter of 2019, our research and development expenses were $11 million compared to $13.4 million in year ago quarter. The $2.4 million decrease was primarily related to lower clinical development cost for XIPERE. General and administrative expenses for the first quarter of 2019 were $4.4 million compared to $3.1 million in the year ago quarter. The $1.3 million increase primarily reflected higher employee related cost and activities associated with our XIPERE commercialization efforts. The net loss for the first quarter of 2019 was $15.4 million or $0.45 per share compared to $16.6 million or $0.62 per share in the year ago quarter. As of March 31, 2019, our cash, cash equivalents and short-term investments totaled $34.9 million. This includes $6.6 million net proceeds from the sale of common stock under our at the market facility and $5.6 million we reported in March this year. As you can see, we've reduced our R&D expenses by shutting down our base three clinical trials and we are allocating funds to our near-term priorities including the launch of XIPERE. Based on our current plans and our anticipated available funding facilities, we expect to add sufficient resources to fund our planned operations until the first quarter of 2020. This includes the preparation for potential commercial launch of XIPERE and our outgoing research and development activities including non-clinical work in gene therapy. In summary, we are carefully managing our resources to deliver on the compelling opportunities we have in front of us and we continue to be proactive in how we see investment community and plan to conduct presentations and investor meeting at several upcoming events included the Annual UBS and Wedbush conferences. With that, I'll turn the call back over to George for his closing remarks, George?
George Lasezkay: Thank you, Charlie. As Tom and Brian discussed, we continue to receive positive feedback from the physician community about our SCS injection platform and our potential commercial launch of XIPERE. FDA approval of XIPERE would be a major milestone for the company and would validate the potential of our nonsurgical SCS platform to be useful in other vision threatening eye diseases. The advancements we have made to date, both in discovery and in the clinic create the opportunity to collaborate with other companies on our technology and leverage the use of our platform for other ophthalmic indications. I would like to express my appreciation to all our stakeholders who have remained committed to Clearside in our pursuit of transformative, elegant and precise solutions to restore and preserve vision for patients. I've been working closely with our experienced and committed team and I am confident in our abilities to achieve our first drug approval with XIPERE and the long-term success of our suprachoroidal space injection platform. And now I'd like to ask the operator to open the call for questions.
Operator: [Operator Instructions] Your first question comes from Liana Moussatos with Wedbush Securities.
Liana Moussatos: Thank you for taking my question. With October 19 PDUFA for XIPERE do you expect an [indiscernible] in Q3? And my second question is what methods of using SCS micro injection for gene therapy and small molecules and for gene therapy, which inherited retinal diseases are you going to go after first.
Thomas Ciulla: I'll take that question. This is Tom Ciulla. So first of all with regards to the adcom [ph] we don't currently expect to have an advisory committee meeting. It's our understanding that we would have been notified by the FDA regarding that type of request at the time of the NDA acceptance. And I think your second question was surrounding first indication for gene therapy. Is that correct?
Liana Moussatos: Yes. so what's the status of gene therapy in general using your technique as well as small molecule and then yeah, which indication are you going to go after first?
Thomas Ciulla: So today we're only doing preclinical testing and that looks promising. It looks like there is potential for this technique. What's interesting though is XIPERE is already a published study suggesting that suprachoroidal administration of gene therapy has potential and that article we had around poster of our own preclinical work. We had a posted at an academic collaborator, again another preclinical project and then there was an independent poster presented by an commission in collaboration with another company suggesting that suprachoroidal administration of viral vector gene therapy has potential. And so those suggest a path forward with this administration technique and then in terms of the second part of your question, indications, what I find very interesting here is that I think I don't have a crystal ball and it will be cracked if I did have one but for the one size won't fit all, I think there will be different ways to administer gene therapy depending on the indication. So it's just like everything else in management but I think that there will be a role for suprachoroidal gene therapy depending on the disease and depending on the vector. We had first gene therapy approve the course with sub retinal surgery in ultra rare disease and therapeutics [ph] and there were other ways to administer gene therapy. Right now we're not really disclosing our first planned indication but we're currently planning.
Liana Moussatos: Thank you.
Operator: Your next question comes from Anupam Rama with JPMorgan.
Tessa Romero: Hi guys. This is Tessa on for Anupam this morning. Thank you for the update here and for taking our question. Moving to the first one from how are you thinking about XIPERE in the monotherapy setting in DME? Do you continue to anticipate those FDA conversations to occur in the second half of this year just solidify the plan forward and is the focus really on DME and then have other -- are these discussing really the gaining factor to moving the program forward in monotherapy? And then maybe my second one for Brian on the precommercial side, I think you guys have said you're expecting about 20 to 30 reps. I was just wondering if that's kind of continuing to be what you anticipate if there has been changes here. Thanks so much guys.
Brion Raymond: Sure I'll take the commercial question first. We've made quite a bit of progress on our targeting efforts to identify the top physician targets in the retina and uveitis communities and we now believe that we can reach this target market with less than 20 reps based on where we expect the usage to really pick up in the early days and that have a long term role revisit that to see if we already there expand. But at this point, we think we can monitor even more efficient sales for us than we had previously been considering. I'll turn it over to Tom.
Thomas Ciulla: So we're progressing DME, we're no longer pursuing the combination therapy strategy but we believe that there is potential for monotherapy just as there are other monotherapy clinical steroids that are approved for this indication. We want to discuss some questions with the FDA with the carrying material to schedule a meeting. The timing of the FDA is not set, but we hope to meet with them in the second half of the year. We've consulted with several of our scientific and medical advisers regarding the path forward in our DME program and based on their advice as I mentioned we decided not to continue any combination therapy, clinical development and they agreed that there is potentially a path forward as monotherapy to get XIPERE monotherapy into rotation but anti-VEGF for DME patients because the anti-VEGF as you know doesn't work in all patients.
Tessa Romero: Great. Very helpful. Thank you for taking my question guys.
Operator: [Operator Instructions] And your next question comes from Boris Peaker with Cowen.
Boris Peaker: Great. Thanks for taking my question. I just wanted to generally ask that what can we learn from OZURDEX regarding this market and is OZURDEX a good proxy or not a good proxy? How should we think about that?
Brion Raymond: Yeah so a couple of the differences that we have when we look at indication statements, OZURDEX is currently indicated for posterior uveitis. Our trail design and our expectation for indication is that we will have an indication for all anatomic locations of uveitis; anterior, intermediate and posterior and for macular edema. Additionally, we are the first drug to demonstrate visual improvements in the our trials in our clinical trial as an endpoint and then finally I think we have a compelling overall clinical profile that physicians as Tom mentioned are already expressing interest in. So while we are going after the uveitis community I think the indications in the market size and as well as the frequency of injections will be quite different because of XIPERE.
Thomas Ciulla: I just wanted to add one comment, physicians are eager to use our platform because they realize that it may be using many other indications going forward. So they want to experience with it. So they are eager to employ it whenever indicated.
Boris Peaker: And can you just comment then just an extension of answer how big is the intermediate and posterior and anterior market relative to the posterior uveitis market?
Brion Raymond: So posterior uveitis represents about a third of the total market.
Boris Peaker: Got you. Great. Thank you for taking my questions.
Operator: I am showing no further questions at this time. I would now like to turn the conference back to Dr. Lasezkay.
George Lasezkay: Thank you once again for joining on the call today. We appreciate your continued interest in Clearside and we look forward to updating you on our progress in the future. Operator you can disconnect us now.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day. You may all disconnect.